Operator: Good day ladies and gentlemen and welcome to priceline.com First Quarter 2006 Conference Call. priceline.com would like to remind everyone that this call may contain forward-looking statements which are made pursuant to the Safe Harbor Provision of the Private Litigation Reform Act of 1995. These forward-looking statements are not guaranteed of future performance and are subject to certain risks, uncertainties and assumptions that are difficult to predict, therefore actual results may differ materially from those expressed, implied or forecasted in any such forward-looking statements. Expression of future goals and similar expressions reflecting something other than historical fact are intended to identify forward-looking statements, for a list of factors that could cause priceline.com’s actual results to differ materially from those described in the forward-looking statements, please refer to the Safe Harbor Statements at the end of priceline.com’s earnings press release as well as priceline.com’s most recent filings with the Securities and Exchange Commission. Unless required by law of Priceline.com undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. A copy of priceline.com’s earnings press release together with the accompanying financial and statistical supplement is available in the Investor Relations section of priceline.com’s website located at www.priceline.com. And now, I would like to introduce priceline speakers for this afternoon, Jeff Boyd and Bob Mylod. Go ahead gentlemen.
Jeffrey Boyd: Thank you very much, and welcome to priceline’s first quarter conference call. I’m here with priceline CFO, Bob Mylod. Priceline’s gross bookings growth exceeded our original expectation in the first quarter with accelerating organic growth rates for both our domestic and European operations. Gross bookings of $747 million were up 47% year-over-year, proforma gross profit of $72.6 million was up 25% and proforma net income was $7.6 million or $0.19 per share which is inline with our previous guidance and first calls consensus estimates. First quarter results include results from Bookings BV acquired in July of 2005. Priceline’s organic gross bookings growth rate assuming acquired businesses were owned for the full period in question and excluding the retail hotel business on Orbitz for the first quarter was 33% a sequential increase from 21% in Q4. Priceline Europe had an excellent quarter with $273 million of gross bookings and an organic growth rate of 102% accelerating from 88% in Q4 and significantly in excess of that reported by our competitors. Priceline’s domestic organic growth rate was 10% in the first quarter, an increase from 5% in Q4. Merchant gross bookings were down 1% in the first quarter, a slight improvement from negative 3% in Q4. We experienced a continued year-over-year decrease in opaque airline ticket sales roughly consistent with the rate of decline experience in the second half of last year. Domestic results were helped by strong retail hotel sales and growth in rental cars and packages. We believe our US business is benefiting from the redesign of our website and the new more ways to save advertising campaign and increase contribution from online channels including Orbitz were opaque service is offered as a discount option. With the full service lineup improve content a consistent web presentation and diverse distribution channels, we believe priceline is well positioned in the United States to build on the improving trends we saw in the first quarter and the second quarter is off to a good start in this regard. With its market leadership as a value player priceline should be an important option for leisure travelers this summer looking for savings opportunities to bring relief from the impact of high gas prices on the cost of this summer vacation. Priceline’s airline ticket sales were down 3% in Q1, an improvement from negative 10% in Q4. If there is mentioning however, the gross profit contribution from sales of airline tickets trails that of last years first quarter to a greater degree due to pressure on margins from inventory constrains and pressure on GDS economics. The financial difficulties of the airlines compounded by high fuel cost and high domestic loads as strong demand presses up against reduced domestic capacity, we continue to present challenges for online travel players as airline seek ways to reduce the cost of selling tickets through intermediary channels and ramp their investment in driving traffic for their own sites. These forces will certainly being play this summer as the outcome of the renegotiation of long-term airline GDS agreements which impact the level of incentive income we receive is far from clear. Having repeated this cautionary remark on successive confidant cost for over a year, I note that contribution from ticket sales is becoming a smaller and smaller percentage of our gross profit. Due to the size and success of our other businesses we have been able to grow our earnings during that period despite significantly deteriorating ticket business. Our growth in Europe stems from a number of sources. Priceline Europe is focused on the continued expansion of this business in rapidly growing markets in continental Europe. The success of our European management in penetrating the faster growing continental markets has resulted in an accelerating organic growth rate in Q1 and we believe continued share gains, against the competition. We also started to see the benefits from the first quarter from the integration of hotel inventory of bookings and active although a full combination of inventory has not yet been achieved. Moreover we have started drive European demand for US hotels and US demand for European inventory and both of those efforts are producing reservations. We have seen very positive results from all of these initiatives but each has plenty of running room ahead in our opinion and consequently the outlook for growth in Europe seems promising. Accordingly as you can see in our press release and we will hear from Bob in a moment we are guiding towards significant growth in gross profit dollars in Q2 and beyond and increased full year proforma EPS. Priceline’s objective is to be the leading US online destination for value conscious leisure travelers and the number one online hotel reservation service in Europe. The positive trends in the US business are evidence that the savings we provide and the consumer support for priceline’s brand provide a solid foundation for our position as the leading value player, despite a macro environment that was record high airline loads and hotel occupancy is challenging to say the least. In Europe the growth trajectory of priceline Europe is support of the market leadership to which we aspire with the single minded focus that represents a tangible advantage against competitors we face a number of significant distractions. We believe Priceline is well positioned to deliver solid proforma earnings growth for 2006. I will now turn the call to Bob for the financial review.
Robert Mylod: Thanks, Jeff. I going to give a brief review of our Q1 results, and then I’m going to finish with some forward guidance. As you can probably summarize from Jeff’s comment the theme for Q1 is all about accelerating gross bookings momentum. Total company gross booking grew by 46.5% on a year-over-year basis. Domestically we were pleased to see our annualized gross bookings growth increase on a quarterly sequential basis and in Europe we have the success story unfolding that is having and we will continue to have an ever increasing impact on our overall results. As Jeff said priceline Europe performs significantly above and beyond our most optimistic expectations for the quarter. In our last earning call we projected the priceline Europe would generate approximately $180 million to $200 million of gross bookings in Q1. Actual gross bookings came in at $272.8 million. For each of the last two consecutive quarters we have expected year-over-year organic comparable growth rates to get more difficult as we comp against increasingly larger numbers from the prior year and we have for the second consecutive quarter our annualized organic bookings growth rates in Europe actually accelerated on a quarterly sequential basis. The strong gross bookings performance allowed us to deliver gross profit dollars that came in at the high end of our guidance. And keep in mind that our retail hotel services in general and our European hotel service specifically recognized revenue not when the customer books his or her reservation but rather when the customer cheeks out of his or her hotel room. I went over this in quite a bit of detail on our last earnings call but to quickly recap, in Q1 customer room night check outs are less than customer room night reservations as leisure customers tend to travel less in Q1, but they do book a meaningful amount of their expected spring and summer vacations during the quarter. From our financial perspective this means that the meaningful amount of the retail bookings that were made in Q1 will not be recognized as revenue until future quarters. I am going to put some numbers behind the spot when I get to guidance but surprise to say that we finished Q1 with a very strong backlog of booked reservations that have not yet been recognized as revenue and this gives us confidents in projecting strong results for the reminder of 2006. And that brings me to a discussion of Q1 operating expenses and more specifically our advertising expense. Again I would like to remind our investors of our accounting policy that dictates that we expense the substantial majority of our advertising activities in the period in which we generate the gross bookings. And that creates a mismatch in the timing between the accelerative recognition of advertising expense on the one hand and the deferred recognition of revenue in gross profit on the other. Accordingly because our gross bookings were so strong in the quarter our Q1 adverting expense of $31.3 million came in towards the high-end of our previous guidance. All of our other operating expenses for the quarter collectively came in roughly on top of the guidance that we gave on our last earnings call. We’ve reported proforma net income of $0.19 per share which came in right in the middle of our previous range of guidance and was right on top of first call consensus estimates. We’ve reported GAAP loss of $0.02 per share for the quarter also consistent with our guidance as we outlined to investors at our last earnings call our GAAP results were negatively impacted primarily by approximately $6 million of acquisition related amortization expenses primarily associated with our acquisitions of travel web active hotels and Bookings BV, and $3 million of stock based compensation expense which reflected the adoption FAS123R during the quarter. All of these expenses were non-cash in nature. As for cash and cash flow we generated approximately $20.3 million of operating cash flow during the quarter. We began the quarter with a $175.4 million of cash and marketable securities and we close the quarter with a $188.4 million cash and marketable securities representing an increase in cash of $13 million in the quarter. During the quarter we used our cash to acquire approximately $5.6 million worth of our common stock pursuing to our share buyback program. Total capital expenditures in the first quarter were approximately $3.1 million. Now for a few comments on guidance, we are looking for second quarter gross bookings to grow by approximately 45% to 50% on a year-over-year basis. We expect Q2 gross bookings from priceline Europe of approximately $300 million to $320 million; we expect revenue to grow by approximately 8% to 12% on a year-over-year basis. We expect proforma gross profit dollars to grow by approximately 45% to 50% on a year-over-year basis, as for Q2 operating expenses we are targeting consolidated advertising expenses of approximately $36 million to $40 million with approximately 75% of that amount being spent on online advertising. We expect sales and marketing expenses of between $11 million and $12 million, we expect personal cost to come in between $14 million and $14.5 million; we expect G&A expenses of approximately $6.3 million to $6.6 million. Information technology cost of approximately $2.6 million to $2.8 million and depreciation and amortization expense excluding acquisition related amortization of approximately $2.6 million. We are targeting proforma EPS of approximately $0.48 to $0.53 per share. Our proforma EPS forecast includes an estimated cash income tax expense of approximately $3.5 million comprised of alternative minimum tax in the United States and income taxes in Europe. As for expected GAAP results we expect to report GAAP net income of approximately $0.21 to $0.26 per share. The difference between our GAAP and proforma results will be driven primarily by the inclusion of acquisition related amortization, stock based compensation and certain income tax expenses, all of which are non-cash in nature. GAAP results will also be negatively impacted by the inclusion of 5.76 million shares of un-issued common stock associated with our 2 convertible note offerings that we are required to use in the calculation of our GAAP EPS. These shares are not issuable unless our stock reaches a level of approximately $40 per share. Well we are not going to give detailed line item guidance for full year 2006. We are comfortable providing an update to the full year guidance that we gave on our last earnings call. To recap where we were before today’s update we have been forecasting total gross bookings of $2.7 million to $2.9 million for full year 2006, with approximately $800 million to $900 million of that amount coming from priceline Europe. We also have forecasted a proforma EPS range of between a $50 and a $65 per share. Because of our strong Q1 results and the visibility of those results give us with respect to the remainder of the year, we are now expecting to achieve full year gross bookings of approximately $2.9 billion to $3.1 billion of which approximately $1.1 billion is expected to be generated by our European operations. Finally we are now targeting proforma EPS of approximately $1.60 to a $1.70 per share. GAAP EPS is expected to be approximately $0.62 to $0.70 per share. As a result of the same non-cash items that will impact Q1 and the inclusion of the additional $5.7 million shares of one issue common stock associated with our two convertible note offerings. Before we take your question I wanted to make two additional points pertaining to priceline Europe. The first point related to the full year guidance that I just gave. As I said at the beginning of my remarks the gross bookings performances that priceline Europe delivered in Q1 was substantially ahead of our most optimistic expectation. It is primarily because of this performance that we have of to our full year bookings and EPS guidance. Having said that our forward guidance for priceline Europe implies a deterioration in our gross bookings and net revenue growth rates. That frankly we simply have not yet seen. In fact our April gross bookings were very strong. And our revenue and gross profit in April benefited from having Easter holiday in April this year as suppose to March last year. As a result our revenue and gross profit in Europe for April grew by approximately 50% on a monthly sequential basis. It is certainly possible look that by the time we get to yearend the gross bookings guidance that we are giving for Europe today may end up looking conservative in retrospect. And if so today’s EPS guidance might also seem conservative. However we feel that it is prudent to not get too far ahead of ourselves in forecasting priceline Europe. Because it is proportionally high percentage of full year gross profit and operating income is still to come in the second to fourth quarters. We are also expecting some volatility in our European gross bookings and gross profit during Q2 and Q3 as a result of the world cup soccer tournament that will take place in Germany this June and July. The second point have to do with the profitability of our European operations historically we have not given specific profitability metrics for our European operations and we do not expect to start doing so now or in the future especially because it is our goal to continue to further inaugurate our websites and supply platforms on a world wide basis so as to make geographic attribution less and less meaningful. Having said that I did want to point out that the strong growth in gross booking that we are generating in Europe is translating into very strong bottom-line results. Specifically we expect that priceline Europe will account from more then half of our total company proforma operating income in 2006. Up by well an excess of 50% on an organic year-over-year basis as Jeff mentioned in his remarks our state of goal is to become the number one online hotel service provider in Europe. And well our operating results in Europe are extremely promising they also reflect a significant amount of expense that we are incurring to build our business to support the achievement of that goal. Specifically we are in the process of building out significant datacenter infra structure and server capacity to support our growth initiatives. We have expanded and expect to continue to expand our existing offices in the Netherlands, the United Kingdom, France, Germany, Spain, and Italy. We are also in the process of opening new offices in Ireland, Austria, and Portugal. And we have significant expectations for greater reach in Eastern Europe and beyond. The full year EPS guidance that I am giving today is reflective of the expenses associated with all of this development activity. Yet the return on investment from this activity is not expected to be very visible until we get towards 2007. Suffice to say though that are rapid top line growth and strong profit profile in Europe combined with all the forward-looking development activity that we are currently engaged in makes us increasingly optimistic about our ability to deliver strong results in 2007 and beyond. Finally I want to point out as I have done on previous calls that all of the forecast are based on an assumption that we will continue operating in a consumer travel market that is roughly similar to the current one. And that any geopolitical instability or terrorist event particularly within the United States or Europe would in all likelihood have a negative impact on the travel market in general, and our operating results in particular. And with that we would be happy to answer your question.
Mark Mahaney - Citigroup: Hey, great thank you very much. If you could provide little bit more detail on that significant outperformance you saw in Europe and I don’t know is there anyway you could break that down maybe regionally or with their certain travel segments or demographic segment that came on particularly strong over their particular market share gains versus any singled out competitors that led to that our performance? Thank you very much.
Jeffrey Boyd: I think that we would be, we would to be happy to describe that the fastest growing markets are on continental Europe versus the UK. The UK market is more mature and while still the gross markets is not growing at the same rates as the major Western European countries are. I don’t think we want to get into anymore detail about performance against specific competitors or particular channels though.
Mark Mahaney - Citigroup: Okay and then one switching over to that just for the GDS economics and then knowing that, something that you’ve been discussing and talking about for quarters at length. But when do you think you’ll actually get pretty decent visibility into what the full impact could be on your economics? Do you think it will be by the summer or could this is a potentially something that visibility won’t be clear until the end of the year? Thanks.
Jeffrey Boyd: You know I think that most of the renegotiations of contracts between the major GDS’s in the airlines, it will done by the end of the summer. And I would expect that at, we’re shortly after that time there should be some more visibility on what the impact if any of that is on our results. As you know Mark, we have had in our historical numbers the impact of decreasing GDS economics and have been including impact in our forecast as well.
Mark Mahaney - Citigroup: Thank you.
Operator: Our next question comes from Anthony Noto of Goldman Sachs.
Anthony Noto - Goldman Sachs: Thank you very much Jeff and Bob, I apologize for any noise in the background, couple of questions the press release kind of alludes the fact that the business could be actually counters cyclicality, I was wondering if you could elaborate on that all and is that incorporated in your guidance? Second question, deceleration in growth both domestic and international, I was wondering if you could break that down I think about the interest revenue from traffic standpoint, converge rate standpoint and then ASP and that could be based on mixture what have you, what are you seeing that’s driving the acceleration as it relates the traffic convergent rate and average selling price of your case, that’s driving after this if you got more inside of it. And then the final question is, percent of amount that potentially sale of that business as suppose to a public spin-off, are there assets there that you think that it can enhance your strategic positioning and that are not one as well as you may be able to run and giving your executions in that challenging market and outperformance of some of your competitors? Thanks.
Jeffrey Boyd: The first question as counter cyclicality I don’t think it was our intention to imply that we’re highly counter cyclical if I understand the verge you’re focused on. I think we believe that priceline offers great value to customers and sometimes that value has a higher significance in time for another cost are going up. So, we like to think that’s a benefit of our market positioning but it is not something that we can demonstrate it would ask people to forecast for us. As to accelerating growth, I think the, we are getting significant benefits across a number of areas. We have as you know a fully redesigned website it’s not consistent across our products and then integrated marketing campaign and we think that those changes in that advertising campaign are working well and we have seeing some improvements in our overall conversion in certain products which we think are the result of those changes. So, I think we are getting that kind of benefit. In Europe, they are in the course of building out a business on continental Europe where they are consistently adding supply and distribution to the website and to their products and so I don’t think that the growth is absolutely derivative of an increase in traffic to, a particular property that they have but rather continue to increase in hotel inventory, continue to increase in traffic across the number of different countries. And as I mentioned in the prepared remarks we are starting to see the benefit of combining inventory of active and bookings and that translates to a conversion benefit.
Anthony Noto - Goldman Sachs: And then have with the Rockford concinnity.
Jeffrey Boyd: I was hoping you forget that you asked that question. We really can’t comment on that, they’ve got a book out and they are engaged in a process and I just don’t think that something that we would really would comment on.
Anthony Noto - Goldman Sachs: Have you looked at the book, it was a good joke. Thanks.
Jeffrey Boyd: Sure.
Operator: Our next question comes from Scott Barry of Credit Suisse.
Scott Barry - Credit Suisse: Thanks couple of questions, you gave your last guidance midway through the quarter, just to go back to the gross bookings, the deposit turn on, is there anything that you can point to that there would account for the acceleration you saw in the month of March. And then secondly that $1.1 billion of European volumes is it still safe to assume that essentially 100% merchant hotel inventory? Thanks.
Jeffrey Boyd: Well actually its really agency, the transaction on Europe are structured under the agency model, but its safe to assume that basically all that $1.1 billion is out hotel product in Europe. As for the Q1 results it really is a function of those second half of the quarter, just being very substantially higher than we thought, with obviously March being very, very substantially higher, there was a little bit of, as I mentioned in my prepared remarks, Easter was a March holiday, last year and Easter was an April holiday this year. And I think, obviously as March unfolded we ended up getting a lot of bookings associated with Easter holiday which again as I said you will not see as revenue until April, but that is partly why you saw such a, I mentioned our monthly sequentially revenues in April were up 50% versus revenues in March and I think there is a little bit of an Easter phenomena on that.
Scott Barry - Credit Suisse: Okay just one last question, if I might, you’ve mentioned some of the profitability in Europe is it safe to assume, just plug-in some of those numbers it looks like its safe to assume that your agency net revenue yields going to continue turns upwards through the next couple of quarters?
Jeffrey Boyd: I want to make sure when its, when you say agency net revenue, are you saying revenue divided by gross bookings?
Scott Barry - Credit Suisse: Right.
Jeffrey Boyd: Yeah, yes absolutely and that’s consistent with, as we recognized more revenue and that will become even more pronounced in Q3 as we actually have more consumption of vacation as suppose to bookings and so the trends you saw yet last year we will see again this year.
Scott Barry - Credit Suisse: Right, but on a year-over-year basis as well?
Jeffrey Boyd: On a year-over-year basis there could be some movement in the specific timing of revenue recognition as I mentioned we have one sort of small wild card in Europe which is the world cup soccer tournament we did see 2 years ago with the Europe cup that in the movements in the bookings and the reservations actually, it did have a somewhat of an impact it didn’t ultimately change what the full result was for the 2 quarters, but it could potentially have an impact, I wouldn’t expect that there should be a material difference between this year and last year, I think our core margins are very steady if not maybe slightly increasing.
Scott Barry - Credit Suisse: Okay great thanks.
Operator: Our next question comes from Justin Post of CIBC.
James Durran - CIBC: This is James Durran for Justin Post, just a couple of quick questions most of the questions have been asked so far, I wanted to know whether you thought there will be online travel strength that you guys are seeing is really inductive of marketplace or do you really think is more share gain. And secondly what’s really the transatlantic (ph) opportunity if you give us a little bit more color on that that will be appreciated. Thank you.
Jeffrey Boyd: Sure I think our results are reflective of attractive markets, I think the market in United States continues to offer the opportunity for growth for online travel agents, the growth rates have come down over the last 3 or 4 years. But I think it still represents an attractive market and in Europe the growth rates are significantly higher in general than in the United States. So that market is even more attractive particularly in continental Europe where in the net penetration and e-commerce usage and e-travel usage is just at much lower levels than it is in the UK and here obviously. So I think the markets are very attractive but I do believe that we have a winning product in Europe, a winning business model it’s great for the hotels and great for the consumers and I think that’s one of the reasons that we are growing at faster rates and I think taking share in hotel sales from our competition. Second point on presumably you are asking about the opportunity for European traveling to the US and US citizens travel into Europe, I guess what I would say is inherent in the number than in the guidance for 2006 is very little transaction associated with either activity, but yet we know that the United States is a very major travel destinations for Europeans and we also our best intelligence says that our some of our competitors have very big businesses for European traveling to the US. So we look at that as a very large opportunity, I am not necessarily going to define dollar wise what it is, but we know it’s a very big opportunity that is in front of us because again as I said it really doesn’t represent much of any of our business right now. Our European bookings are primarily Europeans traveling within Europe at this point and we know that there is a lot more to go after then just that.
James Durran - CIBC: Thank you.
Operator: Our next question comes from Aaron Kessler of Piper Jaffray.
Aaron Kessler - Piper Jaffray: Hi guys, good quarter and a couple of quick questions for you. First on, some of the traffic data from third party sources are showing actually the decline in the US business, I was wondering if you can comment whether you are seeing declines in consumer traffic to the side, also in terms of the travel environment in the US, I mean has it improve a little I would think gross declines are little better on sequential basis that we, and as where are you in terms of your marketing efforts on international front? Thanks.
Jeffrey Boyd: I mean in terms of the published travel sources I think we make a point not to comment on the relationship between and published travel just because, published traffic information just because there is very often a complete disconnect between the 2. So I really don’t have any comments specifically with respect to public traffic but in terms of the US travel environment and our own business I think you could see from the results that Cendant announced with respect to its US business and as well as the results that we’ve announced that there seems to be healthy strength of demand for travel and for the products sold by online travel agents, I think the results that have been announced so far are positive and with respect to our product in particular, because we have so significantly revamped our product line here over the last couple of years, capping it off with a complete look, change to the look in feel and changes to the functionality on our hotel environment cost sides, we are very, very pleased to have completed the first quarter with those changes and to see really a positive impact on our business in our business trends. It tells us that the consumers are responding well to those changes and it tell us that they are responding well to our new advertising. So we think that those are all good signs for US travel in particular, but for price launch product here in the United States specifically. As to international marketing I think you can see from the results that we’ve announced today that we’ve been extremely successful in building really solid momentum in driving growth in international hotel sales. So we’ve been doing it the marketing spend is in our published numbers, its in online marketing program there and its got a great efficiencies as Bob mentioned, we are forecasting very significant profitability in Europe. So I think that tells you that we’ve got very, very solid momentum in Europe in our distribution channels and that we are acquiring business at a reasonable cost.
Aaron Kessler - Piper Jaffray: Are you still reporting the metrics, I haven’t seen any metrics in this quarter as a result.
Jeffrey Boyd: Yes we have unit metrics in this.
Aaron Kessler - Piper Jaffray: Okay.
Robert Mylod: That’s on our website, so all the metrics are on our website.
Aaron Kessler - Piper Jaffray: Great, thank you.
Operator: (Operator Instruction) Our next question comes from Michael Millman of Millman Research.
Michael Millman - Millman Research: I guess it also starting with a last of, you gives your guidance, and European booking but then you report on merchant and agency could, could you give us the gross profit, over the proforma gross profit for Europe and the US. Secondly are there other consolidators in Europe and continental Europe that some of your competitors might be likely to the purchase considering the success they see in your business. And can you update us on where, what’s your timing is whether there is any timing regarding starting to use priceline as well as Worldspan.
Robert Mylod: Do you mean, I am assuming Sabre instead of Worldspan.
Michael Millman - Millman Research: Sorry yes the favor.
Robert Mylod: Okay all take the first one and maybe Jeff, you can take the next two, I think the question was can we breakout the revenue between US and Europe. And the answer is yes revenues from Europe in the quarter were, I don’t have the exact number in front of me it was approximately $22.5 million, $22.4 million or $22.5 million, so the reminder, will be coming from the US. And that’s all agency revenue, so would appear in the agency line item and then we will, we will have all that disclosure in the Q that we file in a couple of days.
Michael Millman - Millman Research: That would also be the same as your gross profit there.
Robert Mylod: Pretty much exactly right yes.
Jeffrey Boyd: As to the question, whether there are other consolidators that are available Europe to be purchased by our competitors. They are certainly are other businesses in Europe that sell hotel reservations online, I think that there are a number of them tend to, tend to be more focused on single country, and, and to the extent that that others have businesses that reach out to other countries, they don’t have the pan European presence that priceline Europe does. There are also businesses that are out there that have fundamentally different business models from that of priceline Europe and in fact our competition generally the big US competitors that are operating business in Europe are prosecuting a different model on the hotel front, and we are so. I think that, that creates challenges in trying to either change there modular or going into an acquisition in a big way of a business it has a fundamentally different model. As the timing of Sabre versus Worldspan we, we said at the time of the announcement that we where working on implementation, that we, we felt that it would be a matter of months not years. And, I think that there is, that we are targeting begin able to, to book on Sabre later on this year, but I don’t want to give any more specific then that really.
Michael Millman - Millman Research: When you say you will be able to, does that suggested that you will?
Jeffrey Boyd: We, we have a various significant degree of flexibility in what we choose to do. And the, the arrangements around which these transaction are going to, are going to take place have a lot to do with negotiations yet to come between the Air line themselves and these GDS. And so I think the, the landscape is not concrete enough for us to predict exactly where we are going to be booking segments, but the important think is that we have the flexibility to do so in a couple of different venues here and, and we will have the ability to do so later on this year.
Michael Millman - Millman Research: And when you say different model, different business model in European you means the, the big US online agents have a merchant model?
Jeffrey Boyd: That’s right.
Michael Millman - Millman Research: Thank you.
Operator: I am not showing any further questions at this time.
Jeffrey Boyd: Well, thank you all very much for participating.
Operator: Thank you. Ladies and gentlemen thank you for participating in today’s conference. This concludes the program, and you may all disconnect, everyone have a great day.